Operator: Welcome everyone to China Cord Blood Corporation's Earnings Call for the Fourth Quarter and Full Year of Fiscal Year 2014. All participant lines will be placed on mute during the presentation after which there will be a question-and-answer session. Now, I would like to introduce Mr. Kevin Zhang, VP of Corporate Finance to begin the presentation.
Kevin Zhang: Thank you, operator. Good morning, everyone. Welcome to our earnings conference call for the fourth quarter and full year of fiscal 2014. A press release discussing our financial results has already been released, and a copy is available on our company's Web site. During the call, our management team will summarize corporate developments and financial highlights for the quarter. A question-and-answer session will follow. Before we begin, please note that today's discussion will contain forward-looking statements that are subject to risks and uncertainties, and actual results could be materially different from these forward-looking statements. Kindly refer to our SEC Filings for detailed discussions of potential risks. In the interest of time, we'll begin with our CEO's English remarks. After discussing our fourth quarter financial performance with Albert Chen, our CFO, we'll be available to answer questions during the Q&A session. Today, on behalf of our CEO, Tina, I'll read our prepared remarks. Let's begin our presentation. Good morning, ladies and gentlemen. Welcome to our fourth quarter fiscal 2014 earnings conference call. In spite of seasonal weakness in the fourth quarter as it overlaps with Chinese Lunar New Year, our management succeeded in recruiting over 17,000 new subscribers, representing a modest year-on-year increase. For our full fiscal year, which was heavily affected by the drop in the number of new bonds following the Dragon year, the company finished the year with more than 64,000 new subscribers. As of the end of March 2014, our accumulated subscriber base expanded to more than 376,000. In the fourth quarter, the Guangdong market remained the largest contributing market as measured by new subscribers, followed by the Beijing market. As the upfront payment option remains a popular choice among our new subscribers, we generated a consistent level of cash flow in the fourth quarter. In fiscal 2014, we continued to capitalize on our exclusive operating rights in Beijing, Guangdong and Zhejiang. Now, AABB accredited quality standards continued to solidify CCBC as a premium brand and leading cord blood service provider in our industry. At the same time, we continue to look for ways to strengthen our market presence in the areas of sales and service efficiency. With regard to our capacity expansions in both Guangdong and Zhejiang markets, construction progress remains on track at these two facilities with both expected to come gradually online in fiscal 2015. Looking forward, we expect the Guangdong market to remain as the primary contributor to our business and the contribution from the Guangdong market to increase gradually over time. We intent to deepen our market reach and increase our penetrations in these regions through ongoing education and marketing about our services. Overall, we expect our number of new subscribers to grow by approximately 10% year-over-year in fiscal 2015, representing an increase of between 69,000 and 71,000 new subscribers. This concludes my remarks for our fourth quarter results and developments. I want to thank you for your ongoing support of CCBC. At this point, I'll turn the call over to our CFO, Albert Chen to review our financial highlights.
Albert Chen: Well, good morning, everyone. Thank you for joining our call today. As discussed in our CEO remarks, we ended fiscal 2014 by making continued improvement in quarterly new subscribers. In the fourth quarter, we recorded 17,136 new subscribers, which represented approximately 5% quarter-over-quarter and 6.7% year-over-year growth respectively. We were pleased with this dedicated effort and efficiency of our team during our seasonally weaker fourth quarter period. As of March 31, 2014, our accumulated subscriber base reached 376,623. We continue to experience encouraging results with record high revenue of RMB152 million, representing approximately 14% increase from last year. This is mainly driven by an increase in new subscribers along with higher pricing we implemented in the beginning of this fiscal year, as well as the increased contribution from the recurring storage revenue as well. Revenue from processing fees increased approximately 12% year-over-year. And the revenue from storage fees grew even faster at almost 19% year-over-year. In the fourth quarter, our storage revenue accounted for approximately 29% of total revenue, compared to 27.8% of last year. Gross profit remained healthy in the fourth quarter; increased 17.4% year-over-year to RMB125 million. Gross margin stood at approximately 82%, representing an improvement of roughly two percentage points over the same period last year. The improvement in gross margins resulted from the solid top line growth and effective cost control measures, which was offset in part by increased raw material costs following our AABB accreditation in early 2013. In terms of SG&A, sales and marketing expenses amounted to RMB28.4 million, representing an increase of approximately 8.8% year-over-year. In accordance with affect that to a large degree, sales and marketing expenses moved in tandem with total revenues. However, as a percentage of revenue, sales and marketing expenses actually decreased from 19.6% in the last year period to 18.7% in the current reported period. We continue to monitor our sales efficiency and aim to identify other more quality factored promotion and marketing channels. Fourth quarter G&A expenses amounted to RMB29.6 million, which was a modest increase as compared to the same period last year, which was approximately RMB27 million. Again, as a percent of revenue, G&A also trended down to 19.5% in the fourth quarter of fiscal year 2014 as compared to 20.3% of the same period last year. But reminding you that during the same time our operational scale continue to expand. Fourth quarter operating income increased 26.1% to RMB64 million. Correspondingly, operating margin improved by 390 basis points to 42.1% largely aided by our improved gross margins and operating expense control measures. Depreciation and amortization expenses for the fourth quarter of fiscal 2014 were RMB9.8 million. However, looking to fiscal 2015 and seasonal -- the construction of our new facilities coming to an end we do anticipate depreciation and amortization expenses to edge up or to increase in fiscal 2015. Interest expenses decreased 23.1% to RMB17 million, down from 22.1 million of last year. This loss was largely attributable to the increase in the capitalization of interest expense for the company's construction of new facilities. The amount capitalized in the fourth quarter was RMB7 million, compared to RMB1.3 million in the prior year period. We expect interest expense to trend back to historical levels in the coming quarters after the completion of the construction work. And that itself largely consists of the interest as related to our convertible notes. Taking into account the improved operating income and decreased interest expense, fourth quarter income before tax increased by 56% year-over-year to RMB52.5 million. Net income attributable to the company shareholders increased by almost 72% to RMB39.5 million. And that itself representing net margin of 26%. In terms of EPS, basic and diluted earnings per share for the fourth quarter were RMB0.46. Net operating cash inflow remain solid and amounted to RMB137 million. So, many of you who will follow our company closely, you understand that these strong operating cash inflow as a result of significant portion of our new subscriber choosing the upfront payment options. And again, we continue to remain relatively healthy from our partnership point of view as well. This pretty much refer my presentation. I think we'll now turn the floor for any questions.
Operator: (Operator Instructions) Your first question comes from the line of Brian Tanquilut from Jefferies. Your line is open. Please go ahead.
Brian Tanquilut - Jefferies: Good morning, guys, and Albert and Tina, congratulations. First question for you, Albert, as we think about the guidance that you guys basically just gave a few minutes ago, do you mind just giving us some sort of assumption -- explaining your assumption baked into the guidance and how do you get to that 10% new subscriber adds? What kind of confidence level do you have in that number? Thanks.
Albert Chen: Well, first of all, thank you for the question. And from the guidance perspective, we do anticipate in fiscal 2014, our new subscriber private number is a range between 59,000 to effectively 1,000. And most of the contribution for the current fiscal year will still come from our Guangdong market which currently is a significant contributor in terms of new subscriber numbers. One thing I want to highlight at though is that as we completed our construction work for the new Zhejiang facilities, most of the work done as of now, so we are in the process of having the facilities review then approved by the authorities. We do anticipate that the facilities will be fully functional hopefully before the end of September. And as a result of these unnecessary delays, much of the contributors in Zhejiang or the (indiscernible) capitalists will likely be deferred to the topical and fiscal year (indiscernible). As we know if we commence the Zhejiang facilities and operational in full scale, the contribution will likely only account for like half of about a third of fiscal year. So we just probably reason that we are improving in providing the guidance. With that being said we are still confident because we still see a lot of opportunities in the Zhejiang market and likely remain to be the key contributing market in for -- at least for the current fiscal year.
Brian Tanquilut - Jefferies: And Albert, to that point, once Zhejiang is fully operational, what do you think could be quarterly or annual contribution in terms of new subscriber ad that the facility could contribute?
Albert Chen: Well, looking at the Zhejiang operation today, it is sooner like looking back into for example early 2008 when we commenced the operation at Guangdong market. The challenges which we previously faced and currently being addressed is the processing capability problem act, I think the market is over time it's not increasingly ready to receive or to embrace this kind of healthcare services. So, if I may, will reference this to the previous experience in our Guangdong market, we do anticipate a ramp up in Zhejiang fully functional will be relatively robust. However we need to keep in mind that for example in -- we commenced the operation in Zhejiang in late '07, it's still a nominal six, seven years. So the Zhejiang market reaches the current stage and become a significant contributor. So let's just keep that in mind, but in terms of market size and as well as the positive market economical affordability, this happened in half a million markets, so we are very optimistic about this market.
Brian Tanquilut - Jefferies: Okay. And then cash flows; are you willing to provide guidance today on what you think cash flows could be for fiscal 2015?
Albert Chen: That's an excellent question. As you know part of the reason that we have continued to close robust cash flows because a lot of our clients prefer to pay 18 years of storage fee upfront in return or in exchange for a discount. Our internal discussions, even latest internal discussions seem to indicate that there are currently no intentional changes in the strategy of putting more emphasis on assembling new clients. So with that in mind and with the guidance that we just previously saw this provide like partner to go, is it fair to assume that the operating cash flow is likely to be moved in tandem with the increasing volume.
Brian Tanquilut - Jefferies: Okay. And then tax rate, how should we be thinking about tax rate going forward?
Albert Chen: From a local accounts perspective our various physicians, they focus a different tax rate. For example, Guangdong recently received the higher new technology enterprise service and is now turning subject to a lower tax rate of 15%. Thinking it's currently locally paying 25% and whereas at Zhejiang closest being 25%. However, with that being said, given the face that we have demonstrated repeatedly our ability to apply and succeed in obtaining the higher new tax enterprises. If you are looking at our financial statement under U.S. GAAP, we actually provided our tax expenses based on 15%. We still continue to renew our preferential tax treatments. And the benefit of doing so is that we avoid unnecessary, I would say, add and write back that we have previously suffered or that we have previously reported in the past two fiscal years, which can now cause us a lot of pain from investor perspective. So we currently are recording the estimated hidden tax expenses, we actually smoothen out the income tax expenses impact.
Brian Tanquilut - Jefferies: Okay. And then last question from me --
Albert Chen: (Indiscernible) standpoint you can assume Beijing and Guangdong, for projecting purposes you can use 15%. And Zhejiang, until (indiscernible) that we can obtain is higher new tech enterprises and it will be applied at 25%.
Brian Tanquilut - Jefferies: Okay, got it. And last question from me, you are sitting on essentially $300 million of cash on your balance sheet right now, that's potentially your market cap, but how should I think about your plans for capital deployment given all that cash that's there right now?
Albert Chen: What we are constantly discussing internally about this deployment of capital. Whether those capital would be used for M&A purposes, whether those capital would be used for potential share repurchases or other means to reward shareholders. This is an ongoing discussion internally. As of the time being I think we still have -- we are still keen on executing our various M&A initiatives until that time has changed. I think we will continue to do what we have been doing such as, for example, only doing share buyback initiatives as well as looking for potential M&A initiatives both inside and outside China.
Brian Tanquilut - Jefferies: Got it. Thank you, Albert.
Albert Chen: Any further questions?
Operator: Your next question comes from the line of Alberto Bassetto from Jayhawk Capital. Your line is open, please go ahead.
Alberto Bassetto - Jayhawk Capital: Hi, congratulations for the quarter.
Albert Chen: Thank you.
Alberto Bassetto - Jayhawk Capital: I have a couple of questions, one is regarding Zhejiang. I just want to clarify if I understood it correctly. So in the current quarter which is the June quarter, you guys are still operating under the capacity constraint because if I understand correctly Zhejiang now which is at most end of June is completed, is that correct so far?
Albert Chen: That is the right statement. And as of -- even up to now we are still operating under the capacity constraints and still we can move out fast into the newly completed laboratory building. But that won't happen until we have received the authorities and we like to do so. This is part of the -- I'd say the unnecessary setback, but it's just something that we haven't deal within life.
Alberto Bassetto - Jayhawk Capital: Okay. So it's the certification (indiscernible) or how you want to collate that the last and final bottleneck. And that's why you said in terms of expectation that ownership as to September potentially you may still be operating under the constraint as soon as that certification is received at that point even that bottleneck is gone, you start operating in full capacity obviously with their own property stakes?
Albert Chen: Correct. That is the right assumption, and also to fully dilute that we are although being very capital intensive on recruitment and marketing front as well, because we don't want to spend in unnecessary capital at a time when we can't fully market ourselves. So we are basically carefully increasing our headcounts in Zhejiang and at the same time just to make sure that we don't over hire during the period.
Alberto Bassetto - Jayhawk Capital: Okay, thank you. And then there is a question from me like can you break down for the quarter, for the March quarter in percent, the different payment forms like upfront, regular and the installment. And lastly, do you mind to remind as how the installment now works?
Albert Chen: In terms of new subscriber breakdown by payment methodology, I think for the fourth quarter approximately 52% of new subscriber choose upfront payment, 36% choose are not done, which is basically paying any storage fee annually, and then about 12% are doing installments. Now the -- this thing have a very good point that the installment now is different for example in Beijing, in the Beijing market we encourage clients to payoff that 18 years of storage fees together with the processing fees by six installments. So in six years time we collect all the contract values, the entire contract value, so it is the factor turnover from a cash perspective as compared to even to normal payment options. Now, in the case of Guangdong the installment is basically bricking down. The processing fee is due five installment payments, and at the same time the clients who choose the installment payment options will continue to pay the annual storage fees every year. But as of now most of the installment that arises from our Beijing market which is basically a cyclic, cash collection cycle.
Alberto Bassetto - Jayhawk Capital: Okay. That covers my question. Thank you very much.
Operator: Your next question comes from the line of Scott Henry from Roth Capital. Your line is open, please go ahead.
Scott Henry - Roth Capital: Thank you. Most of questions have been asked already. But I did have one kind of macro question, in China the one child policy has been eased as of late, could you tell me what kind of impact that is having on your business. Is it having a significant impact or minor, just any color would be appreciated. Thank you.
Albert Chen: Scott, thank you for the questions. Actually the government has relaxed the single child policy to a certain extend starting from (indiscernible) announcement in November of last year. But even up to the latest reported quarter most of our new subscribers are still single child in the family. Second born or the second child in the family is only account for a small fraction in terms of new subscriber numbers, you are genuinely looking at a range between anywhere between 3% to 4%, so however, I do witness a relatively fast growth in terms of, I'll say the second born as a new subscriber number. That's a portion of other new subscribers' number. But I think it is rather inappropriate to suggest that the relaxation of single child policy will have immediate huge impact on our line of businesses. I tend to agree that the (indiscernible) of one-child policy likely to have a positive impact over the long run. I am talking -- I'm speaking to this point based on the number of babies born in China as a whole. However, in our line of businesses at least based on the evidence available to us as of now, I think it is too fast to conclude that the impact will be extremely material end processes.
Scott Henry - Roth Capital: Thank you for taking the question.
Operator: Your next question comes from the line of Yi Chen from Aegis Capital. Your line is open, please go ahead.
Yi Chen - Aegis Capital: Thank you for taking my questions. First, can you give us some more details regarding depreciation and amortization cost and capital expenditure over the following quarters?
Albert Chen: Very good question, and as I pointed out in my previous presentation, we still anticipate depreciation and amortization expenses to increase after the completion of the new facilities despite the fact that some of it is not fully functional, fixed assets, the completion of the construction work itself will trigger additional depreciation expense going forward. Now, the current depreciation expense for the fourth quarter of fiscal 2014 ranges roughly approximately RMB9.8 million, RMB9.9 million, and that itself consists of two components, one of which is the amortization of intangible assets. That amount is approximately 1.1 million per quarter and that goes to the cost of goods sold or direct cost line. In terms of remaining portion which is about roughly RMB8.8 million fully related to the depreciation of fixed assets. The later part of your question is concerning the CapEx, with the majority of the CapEx in relation to the construction of the new facilities are pretty much completed. We have I think approximately RMB14 million left; 14 to 15, we haven't paid. The contractor had pretty much spent there; well, we haven't paid them yet. So they are like that catapult flow likely to kick-in in the June quarter. With that being said, most of the CapEx are pretty much behind us now. So going forward, we will need the most phenomenal maintenance CapEx and purchase of storage cans, and that's about it.
Yi Chen - Aegis Capital: Thank you. My second question is, can you give us some color on the interest payment cash outflow pattern for the fiscal 2015? Should we expect the cash outflow to occur in first quarter and the third quarter?
Albert Chen: That is a good question. Yes. The interest outflow are largely related or by-large related to the convertible notes that were issued to KKR and Golden Meditech, each of them have a different payment timeframe. The KKR convertible note, the coupon payment is skewed filled in the June quarter. And the Golden Meditech coupon payment normally made at the end of September, so that will hit the second quarter.
Yi Chen - Aegis Capital: Okay. And my final question is considering fiscal year 2015; we will cover the majority of the year of horse and also the beginning of the year of the sheep. So based on what you currently observe in hospitals in regions you cover, what's the birth rate trend that you expect to have for the fiscal year 2015 and beyond?
Albert Chen: Well, I must admit that the moving one from one lunar calendar year to another lunar calendar year, this kind of seasonality is observation of rare, because in many cases you have patterns don't happen until like once every 12 years. But with that being said for example as a reference point when we move away from the year of the dragon into the year of the snake, for example, we see the decline in new subscriber number -- sorry, we see a decline in the number of babies born in the hospital that we covered at a range anywhere between, for example, 15% to 20%. That covered the Beijing and the Guangdong regions. But one thing worth highlighting is that when we move from the year of the horse which is where we are now into the year of the sheep, which is the next calendar year, one thing will be account to offsetting the negative impact is the rising contribution from Zhejiang, which is part of the reason why that the guidance that we provided the 10% despite that we made seasonal volatility in terms of number of newborns. But I do anticipate that the decline in terms of newborns in the regions where we operate will not be as significant as we see from moving away from the year of dragons. From the years, from the dragons to the snake the drop is quite radical. I think from the year of the horse or the year of the sheep is not as bad as we thought .
Yi Chen - Aegis Capital: Okay, thank you.
Operator: Your next question comes from the line of Darren Wang from River Valley Asset Management. Your line is open. Please go ahead.
Darren Wang - River Valley Asset Management: Hi, Albert. Thank you for taking my questions. First of all, I want to ask what is the new subscribers' geographical split in Q4?
Albert Chen: In terms of the clients break down, approximately 60% came from the Guangdong regions, about 33% came from the Beijing municipality area, and about 7% came from Zhejiang.
Darren Wang - River Valley Asset Management: Okay, thank you. My next question is, I'd like to ask about average processing fee for new subscribers for Q4. I did a calculation compared with Q3 this year. This figure actually dropped from 6,580 to 6,300 in Q4. So I'd like to ask, is this seasonal discount push up the volume during Chinese New Year or is there any other reason causing this quarterly drop?
Albert Chen: Well, there are a couple of factors that you need to take into account when you see a swing between the average processing cost, because that average processing cost will be affected by the timing as to when subscribers signed up and because as you know, people that choose for upfront payment, they will be entitled to a discount; people that choose normal payments, they are not entitled to discount. So payment mix will fluctuate as well as when those people sign up will also affect the average ASP as well. If most of the decline in terms of sign up at the end of the quarter, we have a very good run at the end of the quarter; that will bring up the overall average. But from a -- I'll say, from a projection analysis point of view, I'll say the second and the fourth quarter will be a better, I'll say, reference points if you're to project into the future. This kind of modest trend will continue to happen.
Darren Wang - River Valley Asset Management: Okay. Yes. My last question is regarding the excess cash dividend. Could you tell us more about this, terms and conditions on this excess cash dividend, which allows convertible note holders to participate? And how will this potentially affect our financials and the cash etcetera for our company?
Albert Chen: This is a -- I'll say, an accounting presentation issue, because the convertible note with issues to (inaudible) and Golden Meditech has a cost in there. So, should the company decide to dividend out the earnings, if the amount of dividend on a per share basis is in excess of what the convertible note holders getting on a (indiscernible) basis, then the excess portion will be basically shared among the other new shareholders as well as the convertible note holders. Now, to give you an example, is that, now -- if I remember correctly, the coupon of the convertible note holders, let's just say has -- the total convertible note outstanding is $115 million. Now, this convertible note is entitled to a 7% coupon per annum. So basically taking that 7% multiply that with 115, we know what the total coupon payment for the two [CB] holders each year, and what that amount is going to be. And then the entire 115 million convertible notes is equivalent to approximately 40 million shares. You just pick the face value of the convertible note divided by the strike price, which is 2.838, then you get about 40 million shares. So, if you take the coupon payment, divide it by the equivalent number of shares as soon as they are converting, then, you get a coupon payment on a per share basis assuming that they're converting it. I think it worked out roughly about $0.19. This brings you to the -- part of the question is if we have a dividend of our earnings -- if the dividend is less than $0.20 to our alternate shareholders, the convertible note holder is not entitled to anything. But if we -- let's say, dividend out $0.30 per share, then the convertible note holder will have the entitlement with the excess portion, which is the $0.30 minus $0.20 per share. Then the excess portion, which is less $0.10, you can think of it as the excess portion, which will be shared not only by the convertible note holder, but also the ordinary shareholders as well. I know it's a rather complicated concept. Yes. I hope it helped.
Darren Wang - River Valley Asset Management: Thank you for your explanation. Thank you, Albert. That's all what I wanted to ask, thank you.
Albert Chen: Yes.
Operator: (Operator Instructions) At this point, there appears to be no further questions. I will now turn the call back to Mr. Kevin Zhang.
Kevin Zhang: This concludes our earnings conference call for the fourth quarter and full year of fiscal 2014. Thank you for your participation and ongoing support. Have a great day.
Operator: This concludes today's conference. Thank you everyone for your participation.